Gilles Grapinet : Thank you, operator. Ladies and gentlemen, good morning. This is Gilles Grapinet speaking. Thank you for attending today's Worldline Concall on our First Quarter 2023 Revenue.  As usual, I will start this presentation providing you some key highlights of the quarter and also some comments on our commercial dynamics across the business lines; then Marc-Henri, our deputy CEO, will present you the landmark strategic partnership with Credit Agricole we announced last week; thereafter, Gregory, our Group CFO, will present you in detail our first quarter revenue performance before we wrap up from myself for further conclusion before opening the Q&A session. Let me start first by some organic growth comments. We enjoyed a solid start of the year as our first quarter is showing, again, a solid revenue momentum with 9.2% organic growth at group level. Merchant Services is posting its sixth double-digit growth quarter in a row with close to 13% growth in Q1. And this is worth noting as it was achieved while continuing to absorb in this division the last quarterly negative impact of the complete stop of our e-commerce activities with Russia that we did stop end of February 2022 as part of the implementation of international sanctions. Financial services and mobility and transactional services are there and delivering as per their anticipated 2023 trajectory profile. Now from a strategic standpoint. I am very proud of the announcement made last week with the entry into exclusive discussions with Credit Agricole to create together a major player in merchant services in the French payment market. Marc-Henri will come back more precisely on some details on this project, but I would like to make some preliminary comments by connecting some dots here. Over the last two years, I consistently shared with you your community that after the Ingenico integration, Worldline would have one of the best and most comprehensive payment technology stack in Europe. We know we have great products. We need and we want more distribution for reinforcing the long-term organic growth potential of Worldline. Consequently, our strategic M&A focus has shifted with a clear priority given in the recent past, as you heard me many times saying, to opportunities, leveraging our global platform and expanding our distribution power, our geographic reach and enriching our portfolio with additional local payment scheme capabilities that we sometimes don't have. And as you know, it is a key asset to be relevant in the EU markets as they are structured today. We also shared with you that the time would probably come where we would be in a position to agree with some leading banks, feeling the pressure of the market transformation that we could not buy in cash their merchant books, that we would agree with them to trade and combine on one hand our access to their local distribution power and market intimacy, with an index change on the other hand, of the right for our local bank partner to benefit in its country from the Worldline differentiating product portfolio. This is exactly the reading one should have about the Worldline-Credit Agricole remarkable partnership announced last week, where we kill actually 4 birds with one stone.  Number one, we will gain access to a new and very sizable commercial acquiring market, France, so far totally untapped by the Worldline Merchant Services division, and that will leverage fully our global assets. Number two, we will gain access to the most powerful local distribution network for our products and services for years.  Number three, we will gain access to the powerful French domestic scheme, Cartes Bancaires, through our partner, Credit Agricole Group, both for the local and international merchant needs. And fourth, as it is a contribution in kind, we keep our financial firepower fully available for other important upcoming opportunities we currently have in our pipeline. So for Worldline, this is, if any, a real strategic breakthrough, particularly smartly structured. All these achievements are paving solidly the way to a successful execution of the full year 2023 guidance and our midterm growth ambition that we, of course, both confirm today. And now I want to give you more color on the commercial dynamics. Turning to the Q1 significant merchant wins, upsells and partnerships within Merchant Services, I must say that both reflect the relevance of our solutions and the success of our orchestration strategy based on our solid product offering. Globally, we have delivered again significant wins and partnerships on both in-store and cross-border online, increasing our market share with new merchants, also an increase of our share of wallet with existing merchants. Our tenant orchestration offering has been gaining several deals, as well as the verticalization offering we have developed and the ability to leverage quickly the newly acquired companies such as Soft POS. Let me comment on some of them. In online cross-border payments, the flagship win of the quarter for Merchant Services is definitively the win of Turkish Airlines, one of the top 10 largest airlines in the world. This is also one of the largest merchant services contract ever signed.  After the win of Lufthansa a couple of quarters back, it is a new showcase of online cross-border capabilities and of our travel vertical expertise. Also in cross border online, our permit orchestration platform has been key for the win of Finca but as well as increasing our share of wallet with simpler or trust payments. On the in-store and omnichannel side, I'm proud to mention the win of Correos in particular. The combination of Worldline acquiring coupled with our new Soft POS solution, providing a full all-in-one and integrated offering has been key for this client with the leading postal services company in Spain to equip thousands of personnel. Regarding the partnerships, our unique payment facilitator solution, coupling acquiring and DCC product has been key to increase our share of wallet with Wallee, a very successful partner. Overall, a very successful quarter with a sustained commercial momentum. As usual, on the next slide, I'll share with you the MSV growth of Q1 2023 which is showing a steady dynamic at plus 13%, reaching for the first time €100 billion in the quarter. It was up plus 11% in store and plus 19% in online. Then on you can see with the pink curve in the chart, we continue to see a solid dynamic at the beginning of Q2 with a solid trend in MSV expansion, fueled by both in-store and online activities. To conclude this first part, let's focus on the financial services and MeTS wins and partnership on the quarter. Regarding financial services, the quarter has been quite dynamic, with notably the win of the BNP Paribas contract with Worldline, will provide the solution combining electronic signatures of SEPA mandates with open banking based account validation to reduce SEPA direct debit fraud and also a partnership in the promising region with fintech for financial institutions and merchants combining Worldline financial services capabilities in acquiring, issuing, processing, account payments and digital services and the fintech payment platform. On MeTS, it's worth to mention the win with SNCF, the French runway operator, to whom Worldline will provide an omnichannel cloud contact center based on our in-house contact solution to manage in the future 11 million secure customer interactions as already indicated. Marc-Henri will now take the floor to guide you through the strategic partnership we signed with Credit Agricole on the French market.
Marc-Henri Desportes: Thank you, Gilles. Good morning to you all. I'm happy to drive you through this new strategic partnership we have announced last week. We are indeed very proud to announce the strategic alliance in an attractive market, benefiting from a strong momentum in digital payments. Let me just start with a global overview of the French market, which in our industry is a very dynamic and attractive market. It is the second largest economy in Continental Europe, and it's simply the largest e-payment market in Europe with a circa €700 billion MSV growing mid-single digit.  It is also a market where use of cash is still high at circa 40% of payment volumes, representing a massive growth opportunity. Last but not least, French e-payment market is dominated by card payments and in particular, by the local scheme Cartes Bancaires. It is a brand of choice for circa 80% of the card transaction, an acquirer needs an access to Cartes Bancaires to scale on this market, and we did not have it so far. This is why the access to Cartes Bancaires is so important for us, while Credit Agricole needs the new momentum of a pure player with international capabilities. Together, we can bring the right solution at scale for the biggest EU market. Now regarding our ambition. With Credit Agricole, we have the perfect fit to create a major player in France. The long-term joint company is based on a shared vision for delivering value to merchants through perfect combination. Worldline will bring global scale, best in-place payment solutions, in particular, for cross-border payments and international payment means, but also in the field of e-commerce and omnichannel. We will also come with a recognized sales and marketing capabilities and successful track record for integration and migration. On the other side, Credit Agricole will bring the leading position in France with a large bank distribution network, local expertise and strong merchant relationship with adjacent banking products.  Let's be clear: We are talking about a bank which has circa 16,000 banking advisers for SMEs. This is a huge firepower in the SME market in France, in which Credit Agricole already have a quarter of the market. As for bigger customers, we will now be able to offer a full-service solution in the biggest European market, which is key for pan-European RFPs. Here, we definitely have the conviction that we are together in a position to double the growth of the market and to create a major player in France. In terms of the coming key steps regarding the partnership implementation. Now during the period 2023-2024, we will have a joint investment phase of circa €80 million equally financed by Worldline and Credit Agricole for the product localization and joint company implementation. In parallel, as from closing at the end of 2023, we will start to leverage the access to the Cartes Bancaires scheme with all large accounts to generate added revenues at Worldline MS. While Credit Agricole will be able to offer our existing products to the mass market, both revenue streams will be recognized by Worldline and Credit Agricole on their own. Then early 2025, we will execute the full implementation of the joint company starting to generate revenue and margin under its own license. Worldline will contribute upfront at this date its French merchant acceptance contract while Credit Agricole will start to contribute progressively their merchant acquiring business. The joint company will be 100% consolidated by Worldline. You can understand through the steps that the overall structuring of the deal is a balanced contribution (inaudible). To end this part, I have four key messages on this announcement. This alliance provides to Worldline a powerful access to a significant market share of the largest European market. Europe presents a unique value creation opportunity through combination of Worldline payment expertise and Credit Agricole distribution network.  From an inorganic standpoint, in a few quarters, we will start jointly expanding our high-performing Worldline merchant acquiring franchise into this very large French market. Our joint company is said to be the French market leader like PAYONE already is in Germany. We do this transaction to create for Worldline an important and brand-new long-term organic growth engine from 2025 onwards. From a more strategic standpoint, it highlights the appetite of the largest and most successful banks in Europe to leverage our leading Paytech position in their home market. We are convinced this strategic landmark transaction is a cornerstone for Worldline's positioning as the global payment partner of choice for the largest bank. Finally, Worldline flexibility in terms of deal situation made a full difference to score. The balanced contribution of business preserves our balance sheet to sales important oncoming opportunities that we have in our pipeline. I will now give the floor to Gregory to present you our Q1 financial performance.
Gregory Lambertie: Thank you, Marc-Henri, and good morning, everyone. Let me start with an overview of our Q1 performance. Overall, we're posting 9.2% organic growth and €1.1 billion in revenues. MS now represents 71% of our group's revenues and remain well anchored in double digits. The 12.6% increase versus Q1 '22 an acceleration versus Q4 and driven by very strong double-digit growth in Commercial Acquiring. Financial Services was up 2.3% as expected. And following the signing of ING at the end of last year, we continue to register good commercial development. Finally, on MeTS, revenues were stable due to a healthy underlying growth despite the French telecom contract reinsourcing at the end of H1 2022. Let me now detail these numbers by business line on the following slides. Turning to MS, revenues reached €758 million in Q1, up 12.6% despite the effect of the Russian sanctions which impact our financials for the last time. This Russian impact cost us approximately 2% in MS growth percentage points this quarter. In Commercial Acquiring, all segments and geographies drove the double-digit growth whether it be in mass market activities or vis-a-vis large retailers. Also, regarding new countries like Italy and Greece, they're enjoying a very good performance driven both by new customers onboarding and steady cash to cloud conversion. Payment acceptance grew single digits and would be high-single, excluding Russia. The performance comes from digital customers who continue to grow solidly, benefiting in particular from the continuous recovery of the travel vertical. And in global sales and vertical, performance remained steady, both in terms of new merchant wins and upsell with existing merchants. Last, on digital services, activities grew mid-single digits with strong performance in our key countries driven by large retailers. Now moving on Financial Services and MeTS. Starting with FS, revenues reached €228 million, representing organic growth of 2.3%, with a positive performance driven by good dynamics in Benelux, France and Finland; solid growth in account payments; and finally, softer performance in digital banking despite volume increase in new business, more than offset by softer performance in the Netherlands.  Last, I'd like to mention that our pipeline of new projects remain solid across the continent. To conclude with MeTS, revenues reached €85 million, flat versus last year as expected. The underlying growth was good, driven by trusted digitization and e-ticketing, both benefiting from increased volumes as well as new projects. And as already mentioned, this was compensated by a large telco contract reinsourcing, the impact of which will be over by the end of H1. Now let me hand over to Gilles to conclude.
Gilles Grapinet: Thank you, Greg. Now moving to the key takeaways of this quarter. The three key messages I would like you to keep in mind are the following one: a solid start of the year, steady commercial performance and a very solid execution of the strategic road map.  A solid start of the year, which is comforting our full year '23 growth trajectory with Merchant Services solidly anchored in the double-digit growth territory and FS and MeTS delivering as per plan and targeting a growth acceleration in H2 2023. Second, the steady commercial performance with numerous commercial successes with new large merchants at merchant services materializing with a double-digit growth and our acquiring MSV, while FS and MeTS signed several new wins to feed their future groups. And third, the execution of our strategic road map to expand and reach scale and distribution channels across Europe and more precisely in new geographies. The strategic partnership with Credit Agricole is the landmark announcement that has another layer to anchor our merchant services growth of the double-digit growth territory for long in the mid- to long-term perspective. But there is more into this transaction. And let me expand the perspective a bit here. This announcement is also a proof point of the speed and the depth of the structural changes which are taking place as we speak in new payments. The banks, including now the biggest ones, are all revising their strategies to adapt to a fast-moving industry.  Now the moment of decision making is coming for a number of them, probably in the coming quarters. And they also recognize as it is clearly shown in the Credit Agricole announcement, the value of partnering with a tech player of scale like Worldline, EU-born and bank-friendly. So we believe that our EU playground is more favorable than ever for our consolidation and bank partnership strategy. It only requires to be able to flexibly structure made-to-measure transactions and alliances that will help each of these leading domestic banks to meet their own business objectives or agenda points, and Worldline has this track record. It is exactly what we demonstrated again with the Credit Agricole partnership that we are best positioned and ready to capture fully the exceptional window of strategic opportunity that is opening as we speak. And I close this presentation by confirming our full year 2023 guidance as follows: 8% to 10% revenue organic growth, an OMDA margin improvement above 100 basis points. And finally, an OMDA conversion rate into free cash flow in between 46% to 48%. Thank you very much for your attention. And I am now ready with Marc-Henri and Gregory to take your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Alastair Nolan at Morgan Stanley. Alastair, your line is open. Please go ahead.
Alastair Nolan : Great. Good morning, everyone. Just firstly, on the Credit Agricole announcement, can you maybe just provide a little bit more detail around what you expect in terms of revenue and OMDA contribution, and kind of over what time line that might be?  And then just secondly, on the Merchant Services division, can you talk a little bit more around how you're thinking about growth for the remainder of the year? And can you remind us when the full benefit of the price increases that you've previously discussed kicks in? Thank you. 
Gilles Grapinet : Hello, Alastair. Marc-Henri?
Marc-Henri Desportes : Yeah, I can take the first question regarding the deal and the way it brings revenue. So as you can see, it's a company that will be fully operational by early 2025 after the ramp-up phase. From '25 onwards, it is expected to be circa 1% accretive on Worldline MS growth rate. I'll give you an order of magnitude. Over mid- to long term to create something similar to PAYONE in terms of size. At this stage, we cautiously assume that the joint venture should be in the range of €300 million to €400 million of revenue four to five years after a full implementation. And that's big, big picture. In terms of profitability at that time, it will be similar to the overall MS profitability, but it will start with a ramp-up phase where it will be lower and progressively catch up and be at the level of MS profitability after the set of it. Just to give you a bit of the order of magnitude of what we are talking about.  Do you want to, Gregory, to take on MS growth?
Gregory Lambertie: And in terms of MS growth, Alastair, what we expect is good progress this year, in particular. As you may remember, this is the last quarter where we have the impact of the Russian corridor closure at the beginning of Q1 last year. So normally, we should be better off going forward.  Plus the repricing efforts are, I would say, halfway through and progressing well. We should be done towards the end of H2 Q3, and therefore, H2 should be stronger.
Alastair Nolan : Great. Thank you very much. 
Operator: Thank you. Please standby for your next question. Your next question comes from James Goodman at Barclays. James, your line is open. Please go ahead. 
James Goodman : Good morning. Thanks very much. And congratulations on the Credit Agricole deal. And just digging into that one a little bit more. You've explained very clearly the upside to structuring it the way that you have done. But I'm just curious, what sort of prevented you from -- or from -- they from wanting to traditionally structure this, so more of an actual carve-out of their merchant book whereby you actually purchase, I guess, the upfront sort of revenue contribution or at least 50% of it. And then given this sort of very gradual migration, I suppose, of Credit Agricole's merchants to the JV, if there are other opportunities in France, if that market starts to commercialize more quickly now, can you talk just more generally around sort of exclusivity with Credit Agricole and also any implications there on the sort of processing side or processing relationships in France? So that's on Credit Agricole.  And then just secondly, Gilles, you mentioned the M&A strategy has shifted. And clearly, this doesn't tie up any capital on your side. So does that mean that maybe alternative deployments like something like a buyback would be now more likely given this is the way that increasingly we might see markets like France commercializing? Thank you. 
Gilles Grapinet : Hi, James. Thanks for your comment. We will try to, of course, answer all of your questions. First, why has it been structured this way? First, I would like to say because it was the will of both parties, let me start by that, both on the Credit Agricole side and Worldline. We found very clearly when we were aligning on our strategic vision for what we could do together on this market that it would be the right way to do it. There could be also some other elements that you can also take into consideration. It is not one integrated banking group. We talk here about Credit Agricole Federation, which has 39 regional banks, which are full blown banks with their own bank license plus the LCL nationwide network, plus, of course, some mutualized services at the group level that are supporting these entities.  The carve-out of the existing activities would have been a strategic undertaking. That's, of course, number one. And we don't believe it would be to have helped a lot to focus gigantically on such an effort, while the point is all about creating additional growth for both parties. That's number one. Number two, as I mentioned, we are a phenomenal payment technology stack, fully complete. We are not that much looking after onboarding new modules, existing infrastructure, if we can avoid. The point is really to feed our global platform with new long-term growth opportunities to get the maximum operating leverage once the business will be up and running. So that was also a good reason to really look at it more forward-looking rather than starting in France. Last, given also the level of activity we anticipate, and it connects to your third question somehow regarding the M&A agenda of the group, we believe that the ability also to deploy cash on other opportunities where cash will probably be required given what we understand from some banks' agenda in Europe today, it was also important. So we could find, as I mentioned, a fantastic way to smartly structure our access to the French market with an ideal partner extremely motivated.  The access to the CB scheme without having to use the balance sheet for that, that will be used, I hope, and I expect more importantly, given what I see in the coming semesters for other large potential opportunities with that. My last comment here is you -- and I just want to flag that because it is always important to make sure we share the same vision. As you know, I tend to say very often that the consolidation in Europe has already went through some waves. Wave 1 was the acquisition of the mutualized bank-owned platform like Equens, or Nets, et cetera, that ultimately were sold by the banks. But they were belonging to numerous banks in a given market. That is largely behind us.  Then Wave 2 was the combination of the players' bond from Wave 1 and it brought Ingenico and Worldline and SIX and Nets and Nexi and SIA, et cetera. Over the recent past, I told you, we are in Wave 3, where individual banks that did not bring their assets together in a mutualized platform somewhere in Europe, are now starting to look for partnership alliances or disengage and sell sometimes straight away. It is exactly where we are. Credit Agricole is a very good example structured a bit differently of the execution of Wave 3 like EuroBank was or like Axepta was. So we look with a lot of appetite for this Wave 3. Keep in mind that still half of the business is with these banks. So it is also a very important signal in the Credit Agricole transaction of the important acceleration of this Wave 3 in Europe.
James Goodman : Okay. Thank you. 
Operator: Thank you. Please standby for your next question. Your next question comes from Alexandre Faure at BNP Paribas Exane. Alexandre, your line is open. Please go ahead. 
Alexandre Faure : Good morning. Thank you very much for letting me. Just wondering if you could comment a little bit on volume growth in Merchant Services by country and which countries you'd expect to lead the growth over the remainder of the year. And I had a second question on the integration of past M&A. If you could update us on the progress made there and how we should think of associated costs and the timing of those in H1 and H2? Thank you very much. 
Marc-Henri Desportes : Alex, maybe I will answer your question starting from the integration of M&A because it directly collides to the growth by country.  So what we observed is that we have a very strong dynamic in Italy. So the acquisition we did of another joint venture we formed with B&L we observe -- we think we are maybe three times the market growth. So it's really a super dynamic. We just, by the way, closed the Desio deal. And thanks to this deal now we are migrating like in the range of 200 to 300 merchants per day, so it's a very dynamic execution.  In Greece, it's also high-teen momentum. So it's very, very supportive. A bit softer in Australia as we are relying on an outdated bank platform, and we had to bring our new platform, which is live now as we speak. Since the beginning of April, so it was a huge project execution but it came on time. And now we are in a position to really bounce back. Overall to the rest of the market, it's dynamic a bit less in the Nordics where the cash to card is less stronger, but very good still in Germany, in Switzerland and in Benelux. Overall, we experienced a good momentum over the various countries, which are the main acquiring contributors.
Alexandre Faure : Got it. Thank you very much. 
Operator: Thank you. Please standby for your next question. Your next question comes from Hannes Leitner with Jefferies. Hannes, your line is open. Please go ahead.
Hannes Leitner : Yes, thanks for letting me on. Could you maybe disaggregate the Merchant Service growth? You touched upon a little bit around the headwind of merchants from the Russian corridor, but maybe then thinking about scheme fees, for example, and then could you talk a little bit about the M&A pipeline, what's out there? And how close are you to close anything?
Gregory Lambertie: Thank you, Hannes. In terms of MS growth, what we still see is solid underlying trends and operational developments, with cash to card trends, market share gains on new and existing merchants as well as a good track -- a good trend on our merchant count increase. So as I mentioned, we're confident on the double-digit trajectory for 2023.  And in terms of scheme fees, what we can comment on is that for us, it is less of a -- less than a 1% impact at MS level. So this means that our net revenue, as we declare it, and net revenue, excluding scheme fees, the delta is around 1% or less, meaning that growth for Q1 on MS is still around 11.5%-12%.
Gilles Grapinet : Thank you, Greg. Regarding M&A pipeline, indeed, we have quite a steady level of activity out of course, as always, to predict on the potential, of course, outcome versus discussions or time line but there are clearly some processes driven by some banks that expect to land their decision and announcement somewhere, of course, in the course of 2023.  So after Credit Agricole being just announced, I must say that we are also very happy with what we already are making for '23. Regarding more larger bank opportunities hard to predict, but things will definitely be topics on which we expect to work significantly in the course of 2023. And depending on the bank decision-making time line, it may happen, well, let's say, the early '24. That is not within totally our hands. And of course, we have then a bunch of, I would say, small to midsized bolt-on acquisitions is really technology or with a smaller bank portfolio that may happen also as we run the company in the coming quarters. So well, I believe I have not the slightest doubt that the [Indiscernible] we will have quite a record year in '23 and probably in '24.
Hannes Leitner: Thank you so much.
Operator: Thank you. Please standby for your next question. The next question comes from Tammy Qiu at Berenberg. Tammy, your line is open. Please go ahead. Tammy, your line is open. Please go ahead.
Tammy Qiu : Hi, sir. I was muted. Sorry. Thank you for taking our questions. Firstly is on cross-border transactions, let's say if second half of this year, the travel from Asia, such as China is coming back to Europe. Is that going to improve your mix or help you from a margin perspective at all? Or that's already included in your guidance?
Gilles Grapinet : Hi, Tammy. You were breaking up a little bit at the beginning, but if I'm correct, I understand you were trying to capture if the China travel would come back into Europe, would it be a positive somehow bus to the revenue and potentially the margin.
Marc-Henri Desportes : The answer is yes, the answer is yes. Clearly, if it were to come significantly in terms of -- come back significantly in terms of volume, we would have revenue impact. We were before the COVID crisis ranked number one in UnionPay, WeChat Pay and Alipay acquiring volumes. So we had a good exposure and we were well -- we worked with them to access their payment solution or various geographies.  So certainly, that would help. And the structure of this transaction are also relative from a margin point of view. Then it's a bit soon to tell if this will come back at speed, we are not seeing significant volumes yet. We hear that booked -- planes start to be booked and that the merchants that work in this domain have significant hopes. But I guess we would like to see it more quickly. So let's see what will happen in the coming quarters.
Tammy Qiu : Okay. Thank you. And also a follow-up on the transaction volume, please. So yesterday, one of the U.S. peer of you has been saying that you started to see transaction volume slowing down a bit around the quarter. And they have seen a switch back to nondiscretionary. Have you seen similar trends recently at all?
Gilles Grapinet : Well, not massively, you could see the MSV volume growth, it varies a bit over time. We had also a slightly higher volume growth in some of the past quarters. But what we are seeing is no, in Europe, we are not experiencing any shift of consumption that is a sign of recession as per our data points.  And we don't only have acquirer that at that point. We can also look at the issuing volumes. And if people have transaction block for lack of funds, which can be also an indicator that there are difficulties to spend. And as we speak, it's not something we are seeing yet. So and maybe as we were talking discretionary, non-discretionary spend, the level of travel, the activity of the travel industry, remains very high despite high price in this industry. So people are ready to dedicate significant budget to this, I would say, the discretionary spend.
Tammy Qiu : Okay. Thank you. 
Operator: Thank you. Please standby for your next question. Your next question comes from Frederic Boulan of Bank of America. Fredric, your line is open. Please go ahead.
Frederic Boulan : Hi, good morning. If I can ask a quick question around the Credit Agricole deal, with the structure you have in place, to what degree you can leverage your existing platform -- online platform and the kind of single delivery model in -- versus more integrated approaches you've done in the past when you integrate merchant books.  And then you talked about the benefits it's giving you with the access to the Cartes Bancaires network. Can you discuss how that's differentiated versus some competitors that have accessed that license through third parties? So is this really unique versus some of the next-gen players?  And then maybe your point around macro assumptions. You're saying your guidance is based on this unchanged macro scenario. Can you comment whether you're seeing we are a couple of like a month through Q2? Any positive or negative signs in terms of trend sensitivity you're seeing in the business that give you confidence that we're still in that potential scenario?
Gilles Grapinet : I can elaborate on the very first question. Clearly, the way the deal is structured is fully leveraging our technology platform. So it is our online platforms we are going to leverage and push to the merchants. And it is also for the core of the activity, our processing platforms that we will leverage. So we will add Cartes Bancaires, which is already available for some front-end assets, but not for end-to-end acquiring. So we will be able to integrate Cartes Bancaires in our technology platform and provide the full benefit of scale on this specific scheme. And as we are talking about massive scale on the European market, that will be very differentiating, very differentiating, because we are talking about billions of transactions and billions of transactions that will be live on our perform for this scheme, which will make us super competitive for the most demanding merchants on the French market. And you know that we're already in terms of acceptance. So it's a very technical layer of the transaction, we are already serving a lot of them. So it's a very, very powerful combination in terms of leveraging for platforms.
Marc-Henri Desportes : Which is particularly coming from the fact just one note here, Frederic, which is coming from the fact that the joint company will have directly need to book all the largest merchants in acquiring -- coming from Credit Agricole, the ones that are bringing the big volumes, which is a big differentiating point, of course, with all the other guys that are, of course, having volumes that not even compiled by the 10s or 20s versus the volumes we are talking about here.  So it is, of course, the scale game that is also behind the way this transaction has been structured, which is a partnership focus, which is only taking place in the Merchant Services space of Worldline, as you know. And of course, for the financial services activity in France, we pursue, of course, growing the business with all other banks because I realize that also we are [Indiscernible] of course deliver our services to any other banks that is interested in the space.
Gregory Lambertie: And finally, you were asking around macroeconomic assumptions and what we're seeing in terms of economic environment so far, so good, remains the motto. What we're seeing is no inflection point yet. As you could see from the MSV curve, we're still growing healthily. So no sign to the downside or to the upside yet. We are within our band of assumption from the beginning of the year.
Gilles Grapinet : Thank you, Greg. It is now time to close this call. I would like to thank you for having been with us this morning, and look forward to the nearest opportunity to interact altogether. Many thanks. Have a good day.
Marc-Henri Desportes: Thank you.